Operator: Good day, ladies and gentlemen and welcome to the Extra Space Storage Inc. First Quarter 2015 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, today’s conference is being recorded. I’d now like to turn the conference over to your host for today, Mr. Jeff Norman, Senior Director of Investor Relations. Sir, you may begin.
Jeff Norman: Thank you, Ben. Welcome to Extra Space Storage’s first quarter 2015 conference call. In addition to our press release, we have furnished unaudited supplemental financial information on our website. Please remember that management’s prepared remarks and answers to your questions may contain forward-looking statements as defined in the Private Securities Litigation Reform Act. Actual results could differ materially from those stated or implied by our forward-looking statements due to risks and uncertainties associated with the company’s business. These forward-looking statements are qualified by the cautionary statements contained in the company’s latest filings with the SEC, which we encourage our listeners to review. Forward-looking statements represent management’s estimates as of today, Thursday, April 30, 2015. The company assumes no obligation to revise or update any forward-looking statements because of changing market conditions or other circumstances after the date of this conference call. I would now like to turn the call over to Spencer Kirk, Chief Executive Officer.
Spencer Kirk: Hello, everyone. In our recently released annual report, we told our shareholders that they can expect more from Extra Space. I’m pleased to announce that we delivered on that promise in the first quarter. We reached a record high occupancy of 92.5%, while producing same-store revenue growth 8.3%. Year-over-year, NOI grew 11.4% and FFO as adjusted grew 21%, impressive for what has historically been the slowest time of the year. As of today, we have closed on $277 million in acquisitions and we continue to build our national portfolio. It was an excellent quarter for Extra Space and I'm confident in our position heading into the rental season. I'd now like to turn the time over to Scott.
Scott Stubbs: Thanks, Spencer. Last night, we reported FFO of $0.68 per share for the quarter. Excluding costs associated with acquisitions and non-cash cash interests, FFO as adjusted was $0.69 per share, exceeding the high-end of our guidance by $0.02. The beat was primarily the result of better-than-expected property performance and tenant reinsurance income. Our same-store revenue growth was driven by increased occupancy and higher street rates. 120 basis points of this increase in revenue came from the change in our same-store pool. Specifically, the addition of our 2013 acquisitions which have performed extremely well. We've been busy deploying capital. We've closed on eight stores for $84 million in the quarter. Subsequent to the end of the quarter, we acquired 24 stores for 193 million, which include a portfolio in Dallas. In addition, we have four operating stores under contract for $32 million. These acquisitions should close in the next 90 days. We have another 16 certificate of occupancy stores under contract. The total purchase price of these store is 175 million, of which 58 million is expected to close in 2015. Additional details related to our C of O deals can be found in our supplemental package posted on our website. Based on our strong first quarter results, we've increased our full-year guidance to be $2.90 to $2.98 per share. FFO as adjusted is estimated to be $2.94 to $3.02 per share. Our guidance includes dilution from our certificate of occupancy deals and acquisitions that operate below our portfolio average. Accretion on certain acquisitions will be limited in year one as we bring them up to our performance standards. Our long-term strategy is to leverage our operating expertise and to maximize our shareholder return. I'll now turn the time back to Spencer.
Spencer Kirk: Thanks, Scott. We continue to invest heavily in our customer acquisition platform and our mobile strategy. This is driving more higher value customers to our stores. The pervasive use of the smartphone and our ability to reach and capture the mobile user has further shifted the competitive landscape in our favour. We continue building our portfolio through acquisitions and the expansion of our third-party management services. Our balance sheet has never been stronger and we continue to execute on our business plan at a very high level. This is evidenced by our 18th consecutive quarter of double-digit FFO growth. So, I will end the way I started by saying our shareholders can expect more from Extra Space. And with that, I’d like to turn the time back to Jeff to start our Q&A.
Jeff Norman: Thank you, Spencer. In order to ensure we have adequate time to address everyone's questions, I would ask that everyone keep your initial questions brief and if possible limit to two. If time allows, we will address follow-on questions once everyone has had an opportunity to ask their initial questions. With that, we will turn it over to Ben to start our Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of George Hoglund of Jefferies. Your line is open. Please go ahead.
George Hoglund: Hi, Spencer. Just wondered if you could give an updated view on the overall pipeline for new deliveries in 2015?
Spencer Kirk: You’re talking specifically our C of O or you’re talking holistically throughout the whole country?
George Hoglund: Holistically.
Spencer Kirk: No, I continue to maintain that the supply is muted. I personally believe that we are in the hundreds and I think that's going to continue into 2016, George. We are at a fraction of the supply that we saw about 8 or 10 years ago, when I talk to fraction, 20%, 25%, 30% pick a number, but we are at a fraction of that and I think that the muted supply is going to bode well for all storage operators, not only in 2015, but through 2016.
George Hoglund: Okay. And can you talk about some of the cap rates on the deals done and also how you are underwriting the C of O deals in terms of what our stabilised cap rates and what's your assumptions in terms of timing of stabilization?
Scott Stubbs: Yeah. George, this is Scott. Our cap rates have been, what I would tell you, all over the place and what I mean by that is our certificate of occupancy deals obviously don't have any yield at day one. We will do some of those this year, we’ve done some over the past couple of years. We typically target a cap rate in the low to mid-6s for year one cap rate and some of the acquisitions have been that or better than that and some of them have been lower than that depending on the operator and if we felt like there was upside. So sorry to be general as that, but I think that's really the way we view them and kind of what we’ve been doing. As far as the overall market, things are competitive still. I think you've seen the REITs be probably the winner of a lot of these acquisitions, if something gets marketed, they typically have the lowest cost of capital and getting the majority of the deals.
George Hoglund: Okay. And then just one last one, just in terms of the third-party management business, how important do you view it as rebranding properties as Extra Space when you bring something onto your platform, I mean because obviously demand, if they get rebranded, I'm just wondering how much of a difference you think it would make if you didn't rebrand it?
Spencer Kirk: George, the difference is huge. When you spend seven figures on a monthly basis trying to build a brand and an awareness, our philosophy is that there needs to be a consistency of experience from cradle to grave and you can only achieve that to the highest and most optimal level with the single brand strategy. There are many ways to operate storage, we just happen to prefer a single brand strategy, it's huge.
George Hoglund: Thanks guys.
Spencer Kirk: Thanks, George.
Operator: Thank you. Our next question comes from the line of Vikram Malhotra of Morgan Stanley. Your line is open. Please go ahead.
Vikram Malhotra: Thank you. Just had a question on your thoughts, I mean every year we kind of keep talking about structural occupancy and maybe in some cases moving that up a bit. Just kind of wanted to get a sense of how you are viewing that going into the summer months and was there any impact in your mind either in move-ins or move-outs just from the winter.
Scott Stubbs: Vikram, this is Scott. We actually finished the quarter at record high occupancy from us. So we feel like it’s going to be good summer. Our internal estimates are we feel like we can top out at just over 94% and we feel like it's going to be a good leasing season. As far as the winter months, I mean clearly it affected people's ability to move in, but it also affected people's ability to move out. So if you look at our net rentals for the first quarter, it was actually a good quarter for us.
Vikram Malhotra: Okay, great. Thanks. And then just a clarification on one of the earlier questions. Assuming that there is, call it, 300, 400 or 500 units out there, what percent of that do you view as kind of competition for your own properties?
Spencer Kirk: That's a great question. With 50,000 plus stores in the US, we’d have to break that down into which markets we're talking about, Vikram. And our presence in the market and what that new supply coming at the market, because not all markets are seeing the same surge of supply. There are vastly different starts depending on which municipality you are talking about. So, sorry for the general answer to the specific question, but that would be on a case-by-case basis.
Vikram Malhotra: Okay, great. Thanks, guys.
Spencer Kirk: Thanks, Vikram.
Operator: Thank you. Our next question comes from the line of Jeremy Metz of UBS. Your line is open. Please go ahead.
Jeremy Metz: Hey, guys, good morning. Obviously had a great start to the year. Just wondering if you can talk a little bit about what you are seeing on the rate side today in terms where you are pushing renewals and in terms of new rents and then also kind of as we look at the portfolio, where are realized rents today versus your in-place leases?
Spencer Kirk: Okay. So let me take a couple of those. Last question first, in-place versus achieved, it's kind of mid-to-high single digits delta. There is a little bit of roll down that depends on the seasonality. Obviously in the slower part of the year it's going to be more and at the peak season is where we're pushing rates. It's going to be less. So we think it's manageable and it has been manageable and we don't think it's a major issue. On the existing customer rate increases, Jeremy, we continue to put out rate increases to about 10% of our existing customers every single month. So that's 65,000 give or take. It's averaging between 9% and 10% and we think it is working well. Then your first question was --
Jeremy Metz: Just about street rents today versus how much higher versus last year.
Spencer Kirk: They are higher and our strategy, just to put a little color on that, Jeremy, has been in the slow season to maintain occupancy and we were the beneficiaries of something where not only did we maintain our occupancy, but we grew our occupancy and we also saw some buoyancy in the rates that we've been able to get because of those occupancy levels. That gives us confidence going into this prime rental season. I think you're going to see us in the summer time on the street rates be able to push things as much as high single digits. And during the year hopefully we will end up somewhere around an overall rate increase of about 5%.
Jeremy Metz: And have you been able to squeeze more on the discounting as well?
Spencer Kirk: Discounts are down, yes.
Jeremy Metz: Okay. And then just one other on maybe for Scott on the acquisition front. Obviously also off to a very strong start here with over 300 million either closed or under contract, just thinking about the guidance of $450 million for the year, just given the activities out already, would you be disappointed if you don't do more than that at this point?
Scott Stubbs: I think our expectation is to be able to meet our guidance of $500 million. Right now our guidance is broken into two components. It's $450 million for outside acquisitions and then $50 million C above deals and we're comfortable with that at this time.
Jeremy Metz: Alright, thank you.
Spencer Kirk: Thanks, Jeremy.
Operator: Thank you. Our next question comes from line of Ki Bin Kim of SunTrust Robinson. Your line is open. Please go ahead.
Ki Bin Kim: Thank you and congrats on a really good quarter. So it seems like obviously business is doing really well and I doubt the entire industry is increasing same-store revenues at 8.3% and I would say versus just market expectations everyone probably assume that we're kind of getting over that camel's hump in terms of the pace and trends in same-store revenue growth. Just curious what have you changed or altered in terms of like the way you advertise in the Internet or mobile or maybe it's a pricing strategy that has allowed you to really push the same-store revenue this high.
Spencer Kirk: Ki Bin, it's Spencer. A couple of things. I think the ascendancy of the mobile device has been something that we foresaw. We invested aggressively and heavily and I think we've been the beneficiary of that early and significant investment. It's a complex world to go after all of the different mobile platforms and devices in ways that people can get to us. And our goal has been, as I said in my opening remarks, to drive more higher value customers to our facilities. And so to that end, there has been a tremendous effort inside Extra Space to rationalize, harmonize and optimize the call center, revenue management and the interactive marketing departments under one central nervous system so that we can truly produce the highest investor result and I would say it's not one single thing we're doing, it's an execution on a lot of different disparate elements to make sure that we drive as I said, the best value highest value customers to our facilities because every customer is not created equally.
Ki Bin Kim: Would you see the Internet advertising way of doing business as [indiscernible] on that equation versus just purely optimizing pricing day to day?
Scott Stubbs: It's all harmonized, you can't single out any one element, it's got to work together hand-in-hand, you can't have your interactive marketing people working at odds with revenue management and that's been a major initiative over the last two years here at Extra Space is to bring that all into one single department and have one cohesive strategy and it seems to be working.
Ki Bin Kim: And just last one, what percent of your customers are receiving some type of promotion this quarter?
Scott Stubbs: It varied a little bit during the quarter, it was as high as 85% and as low as 69% through the quarter and that's month-by-month. So the majority, call it, three quarters of our new customers coming in the door get some type of promotion, now the type of promotion they’re getting is less than it has been in the past but majority of them are getting a promotion.
Ki Bin Kim: Okay, thank you.
Scott Stubbs: Thanks Ki Bin.
Operator: Thank you. Our next question comes from the line of Todd Thomas of KeyBanc Capital Markets. Your line is open, please go ahead.
Todd Thomas: Hi, thanks, good afternoon. Just first question, I appreciate the detail on page 20 of the operations of the CofD deals. In terms of the lease up at these sites, obviously it's just four properties in four very different markets but you're getting the occupancy up fairly quickly it seems, where would say rates are at these sites relative to market and what kind of concessions are you offering to new customers?
Scott Stubbs: So in terms of the lease up of the properties, these properties are leasing up quicker than our initial estimates, typically we have estimated three to four years, I mean, I think these are on pace to do more two to three. In terms of rates, I think they’re similar to what we were expecting; we typically entered the market being kind of the low cost provider or the low price option to try to get more than our share of the market to increase our occupancy quicker. And then, in terms of discounts, we are discounting almost every unit coming in the door.
Todd Thomas: Do you have a sense for where, you know how far below market the rates are?
Scott Stubbs: It might be 10%.
Todd Thomas: Okay. And then, we came the disposition in Brooklyn picked up by some local papers I guess, the joint venture asset that was sold at a pretty nice price, are there any other assets in the ventures that you and you partner might look to sell, was there any thought to buying out your partner's interest there or just not at that price?
Scott Stubbs: We have a few assets that we might look to sell, it's more market driven, typically we're of the attitude that we're trying to build the portfolio. We are always interested in, we enjoy partners but we’re always interested in buying out our partners. This particular asset you're talking about, an outside buyer approached us and offered us a price that was very difficult to refuse.
Todd Thomas: Okay and then just one more. Just thinking about the technology and how the industry has evolved. Looked like in the quarter, you sold some web assets, I think to Storage.com and just curious how that sort of plays into your thoughts and view around the technology for the industry, if you can share some thoughts and maybe some details on that?
Spencer Kirk: Todd, it's Spencer, we continued to invest in digital real estate. The fact of the matter is, our core business is not being an aggregator and we think aggregation has its role for certain assets and certain markets but since it’s not our core business, we decided to take Storage.com and 15 other domain names, packaged them up and sell them off to a company and my understanding is, they are doing well with those assets and it's their core business and we're focused on what we do best.
Todd Thomas: Okay. Are you able to share any of the terms or economics on the transaction at all?
Spencer Kirk: I apologize, but there is an NDA and I can't.
Todd Thomas: Okay, alright, thank you.
Spencer Kirk: Thank you.
Scott Stubbs: Thanks Todd.
Operator: Thank you. Our next question comes from the line of Gaurav Mehta from Cantor Fitzgerald. Your line is open, please go ahead.
Gaurav Mehta: Thank you, Spencer I want to go back to your comments on Internet, and driving higher value customers for Extra Space. So when you say higher value, is it the rents that the customer is paying, is the average length of stay and how did you find higher value for Extra Space?
Spencer Kirk: It's defined by a lot of things, length of stay would be at the top of the list, and as I've said several times, college kids aren't the highest value customer and why we would spend a lot of money going after them or offering a discount or a promotion defies logic. A customer coming to us in November is likely to have a length of stay that is considerably longer and if you start looking at AUTOPAY, and few of the other things whether they're using a credit card or not, you can pretty well start to figure out that a segmentation of your customer base is probably healthy and will yield a better result than just assuming that the market is one homogenous environment where everybody gets the same discount, they get the same price, they get the same everything. Our goal as I've said many times is to deliver the right customer at the right time with the right concession with appropriate price to maximum the revenue and that's what we've been doing.
Gaurav Mehta: Okay. And my second question is on certificate of occupancy deals, so it seems it’s growing. For Extra Space last quarter, you had 13, this quarter you have 16. How big is the deal pipeline for Extra Space and how big do you want to – how many properties do you want to have in that pipeline?
Scott Stubbs: Gaurav, this is Scott. Our focus is more on dilution and how much we are going to accept on an annual basis. We targeted kind of 2% to 3% of our annual FFO and so that is more of the governor for us. We are saying, we want to grow, we want to grow this part of the business, we think it’s healthy, we think that they have good yields, if we can find the right one. But at the same time, we recognized that we don’t want to have too much dilution on an annual basis.
Gaurav Mehta: Okay. Thank you.
Spencer Kirk: Thanks, Gaurav.
Operator: Thank you. Our next question comes from the line of Todd Stender of Wells Fargo. Your line is open, please go ahead.
Todd Stender: Hi, thanks guys. You’re entering peak season at arguably very high occupancy. Number one, is this above your expectation? And where I am going with this is that, it’s high enough where you could actually see occupancy dip a little bit this year because your pricing is on the aggressive side, which ultimately drives revenues that much better.
Spencer Kirk: Obviously, we are pleased with the result. We also think that there is some more upside, Todd, coming into the peak season. We don’t think that our pricing is going to cause a dip in occupancy. As we forecast what might happen in the coming months, we are optimistic that not only might there be a couple of hundred basis points left in the occupancy hitting the peak, but a little bit of rate. Our goal once again is to maximize revenue, it’s not about rate, it’s not about occupancy, it’s about maximizing revenue.
Todd Stender: Hey, thank you Spencer. And then just finally, your deal flow has been excellent, lots of visibility, where the acquisitions are coming from, you’ve got the biggest third party management platform out there. Where ultimately the deal is coming from? Are those folks calling you up? The folks you are meeting at conferences, are they truly coming from third party management?
Spencer Kirk: All of the above. We are doing outbound efforts, we do take a lot of inbound calls. I think most sellers know that – and all of the rates is a really good place to start because they have got the cost of capital advantage that Scott alluded to earlier. Our management platform continues to be a strategic acquisition pipeline. And I want to highlight that the portfolio in Dallas we got done subsequent to the end of the quarter happened to be an OP unit transaction. Issuing OP units and selling the benefits of that to perspective sellers has been a competitive advantage and it’s been the one that we have used successfully for several years now.
Todd Stender: Thanks, Spencer.
Spencer Kirk: Thank you, Todd.
Operator: Thank you. Our next question comes from the line of R.J. Milligan of Robert W. Baird. Your line is open. Please go ahead.
R.J. Milligan: Thanks. Scott, a question for you in terms of the CFO deals that you’re seeing out there. Are you seeing more lenders enter the marketplace looking to make development loans or is that still holding off the new supply?
Scott Stubbs: We feel like it’s still holding off the new supply. As we talk to banks, we obviously talk to them all the time, I think they are willing to make loans to well-capitalized, individuals that they have loans with or relationships with, but typically the terms aren’t anywhere near what they were on hay day. They are looking for people to have equity at risk, real equity versus just putting up their land. And so we think it still absolutely as limiting factor in development.
R.J. Milligan: Okay. And then as you guys think about new supply coming online over the next couple of years, which is still expected to be small, do you anticipate bulk of that would be in sort of what’s traditionally been the high barrier to entry markets given where rents are or do you expect to see more development outside of the Top 25 MSAs?
Scott Stubbs: I think you will see it both places. I mean, clearly people want to get things done in the top MSAs, but they are tough to get things done there, and it’s easier to get things done in maybe a more suburban area.
R.J. Milligan: Okay. Thanks guys.
Spencer Kirk: Thanks R.J.
Operator: Thank you. Our next question comes from the line of Dave Bragg of Green Street Advisors. Your line is open. Please go ahead.
Dave Bragg: Thank you. Good morning. And thank you for the disclosure on the same store pool on page 16, and the question relates to that. It looks as though, there was a 200 basis point benefit to NOI growth in the quarter from the inclusion of new same-store assets as you grow NOI growth there at a tremendous rate above 20% with these newly added assets. But can you reconcile that figure to the 50 basis point estimate that you suggested for the full year on the last conference call?
Scott Stubbs: So on an annual basis, you’re going to see that decline. So for instance, during the quarter, you had a 120 basis points of revenue, half of which was occupancy. But you can see in that same table, our ending occupancy at the end of Q1 for both pools is the exact same. And it actually was about the same by mid-year last year. So you’re going to see that benefit go very, very quickly. I think it might be slightly higher than the 50 basis points we originally said, but it’s not going to be anywhere near the 200 you saw in the quarter or the 120 basis points of revenue.
Dave Bragg: Okay. I don’t see that occupancy disclosure, but we will look on a different page for that. So are you saying that the benefit from newly added same-store assets is somewhere around 100 basis points of NOI growth in 2015? Is that a fair estimate?
Scott Stubbs: When we were talking benefit, we were focusing more on the revenue piece and how to plug down. We are assuming the expense benefit would not be there. And I think you will see that even out more throughout the year. As far as the occupancy disclosure, that was a change that was pushed later last night. So if you look at the latest version of the supplemental, it does have the latest occupancy for both pools in it.
Dave Bragg: Okay. Thank you for that. And next question relates to cap rates. In your November NAREIT presentation, you included a chart, it was really just directional in nature, but it suggested that cap rates had stabilized or maybe creeped up a little bit in 2014. Could you just update us on cap rate trends as you’ve seen them?
Spencer Kirk : I think you’re seeing cap rates somewhat have bottomed out. We haven’t seen a significant tick up but I think that they’ve largely bottomed out.
Dave Bragg : Thanks. One more question if I may. Just going back to I think this might tie it to the Storage.com sale, but it appears as though you’ve gotten on SpareFoot.com, something that you haven’t really utilized in the past. Can you talk about that decision?
Spencer Kirk: Sure. So, we’ve had our own internal aggregation business, Storage.com, which we’ve talked about. We’ve been out there competing with SpareFoot and we simply did a test with SpareFoot with certain assets in certain markets to see what it might yield. And as I said just moments ago, Dave, we think aggregation has its role and it can be a tool, but our primary effort is not aggregation, it’s not relying on a third-party to supply our customers, and we’re certainly not putting our destiny in the hands of a third-party. We have invested very heavily in our own strategy and I think our results speak for themselves.
Dave Bragg: Thank you. Can you just talk a little bit about the cost to acquire a customer through a form such as SpareFoot versus organically?
Spencer Kirk: It varies depending on what kind of customer you’re going after, David. I would say our belief is internally our CPA, cost per acquisition, for a customer is below that of what the aggregators would charge us, which is why we spend the majority of our marketing dollars internally, not externally.
Dave Bragg : Understood, thank you for that.
Spencer Kirk: Thank you, Dave.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Michael Salinsky of RBC Capital Markets. Your line is open, please go ahead.
Michael Salinsky: Hey, good afternoon guys. Spencer or Scott, could you just comment on the amount of total products you’re seeing on the market right now, inclusive of third parties as well as your JVs? And of that, how much of that is price sensitive, meaning if they don’t get the price, does it pull it off the market versus actively being marketed right now?
Spencer Kirk: I think that what we’re seeing on the market today is pretty similar to what we’ve seen in the past in terms of the first quarters. Typically, at the start of the year, it’s a little bit slower. We have seen some get pulled, but there have been a couple of larger deals, typically they do transact if they go -- especially if it’s brokered. I mean, something that is more just an enquiry might not transact, but if it’s brokered, they typically transact.
Michael Salinsky: Okay, that’s helpful. And then this is my second question, I mean, three months into the year right now, how do you feel about supply in 2016 and I know you’ve commented that there is a lack of financing is really driving it, but we had several good years of great growth, we’ve also seen -- we’ve also seen assets transact well above replacement cost. How long do you think we have to really start to see maybe private capital or someone else enter the arena to kind of make up for that funding gap?
Spencer Kirk: This is really interesting, Michael, there is an awful lot of talk about development. Trade shows, meeting with people across the country, everybody wants to get on to the self-storage train, because it’s a great business. I would say, talk is cheap and execution is really tough. Financing is tough, paying up for land that’s got to be suitable is tough and one of the biggest things that I am not sure that everybody has calculated into this is, it’s great to get it build. Once you get it build, how are you going to compete against the REITs? So, you’re going to start paying management fees and probably giving up some or all of your tenant insurance and the risk versus return curve has shifted and I don’t think it’s just compelling to do this. So, yeah, there is a lot of activity in New York. Let’s talk about the lack of activity in LA and San Francisco, where we’re talking single digit property counts coming out of the ground. So, for me, 2015, supply is not an issue, 2016, not an issue. Let’s get a little closer to 2017 and we’ll see if it’s going to be impactful. The point I made earlier, Mike, was during the mid-2000s, more than 2,600 properties a year were fed into the market. Today, we’re at a fraction of that and in 2016, it will still be a fraction and 2017, it will still be a fraction. So, supply is a factor. I just don’t believe that the supply chain is going to deliver up product fast enough to have a material impact for the next 18 months and maybe beyond.
Michael Salinsky: Very good color. I appreciate the help. Thank you.
Spencer Kirk: Thanks, Michael.
Operator: Our next question is a follow-up from the line of Ki Bin Kim of Suntrust Robinson Humphrey. Your line is open, please go ahead. Please check to ensure that your line is not on mute. And we appear to have difficulty with Ki Bin’s line and I am showing no further questions, I’d like to turn the conference back over to Mr. Spencer Kirk for any closing remarks. Thank you, Ben. We appreciate your interest in Extra Space today. We look forward to next quarter’s call. Thank you and have a good day.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the program and you may all disconnect. Have a great rest of your day.